Operator: Good day and welcome to the Pyxis Tankers' Conference Call to discuss the financial results for the Fourth Quarter 2018 call. As a reminder today's call is being recorded. Additionally a live webcast of today's conference call and then a company presentation is available on Pyxis Tankers' website which is www.pyxistankers.com.  Hosting the call today is Eddie Valentis, Chairman and Chief Executive Officer of Pyxis Tankers and Henry Williams, Chief Financial Officer. I would like to now introduce the Pyxis Tankers Chief Executive Officer, Eddie Valentis. Please go ahead sir.
Eddie Valentis: Thank you, Operator. Welcome everyone and thank you for joining our call for the three months and year results ended December 31, 2018. Before starting please let me draw your attention to some important legal notifications on slide 2, that we recommend you read including our presentation today which will include forward-looking statements. Thank you. Turning to slide 3, our results for the fourth quarter 2018 reflected the decline over the comparable period of 2017. In the context of continuing challenging chartering environment especially for spot charter activities. These impacted our revenues and profitability despite ongoing cost discipline. In Q4, 2018 we generated time charter equivalent revenues of 4.4 million about 900,000 decrease over the same period in 2017. We had a net loss of 3.4 million or $0.16 per share for the fourth quarter of 2018 versus a net loss of 1.4 million or $0.08 per share in the same period in the prior year. Note that 2018 results were affected by 100,000 or $0.04 per share vessel impairment charge and higher shares outstanding by 1.94 million. Our adjusted EBITDA for Q4, 2018 was 200,000.  In summary, 2018 was a very difficult period. Q1 started off on a positive note but during Q2 [indiscernible] steadily declined. By late summer rates for medium rates tankers MR became extremely weak. During this time we decided not to fix any of our tankers under the pressed time charters and rode out an equally disappointing spot market. However we did see a pick-up in rate starting November by mainly due to seasonal higher demand and fixed three of our MR and shortened time charter at an average daily rate of $13,300. Through the summer of 2019 we expect chartering activity to be choppy. However starting in the fall we expect the market to improve significantly beyond the exploit seasonal upswing over the fourth quarter. The primary reason is the worldwide impact of the new the [indiscernible] regarding the use of low-sulfur fuel. These IMF complaint low-sulfur fuels would be used by the vast majority of the [indiscernible]. We recently fixed two of our younger MR under time charters at higher rates averaging approximately $15,400 per day for one year with a charter reductions for an additional year of $17,500 a day starting Q2, 2020. Our [indiscernible] is just returning from a special survey with ballast water treatment in stores and we start deployment under a 6 to 8 month time charter at $14,000 per day. These charters on a rest of our fleet activity is shown on slide 4. As of March 15, we had 44% of our remaining available days for 2019 cover exclusive of any expansions. BMRs have an average daily rate of 14,800 with a 5% of both 10 year average for one year time charter. As you can see our small tankers continue to operate in the spot market. We will continue to utilize our mix charter in strategy. Please turn to slide 6 for a brief update on the product tanker market. A more detailed market overview is available at the back of our presentation. Inventories of major refined products are currently near five year averages except for high positions which leads to an imbalance out of certain refineries. In the short term we expect the chartering environment to be chopping due to seasonal softness, earlier and longer refiner maintenance program, new [indiscernible] keeping the market [Technical Difficulty]. Turning to slide 7, overall we expect the better and sustainable market starting Q3 2019. Our outlook is based on the main growth of 3% per annum due to solid global consumption of refined petroleum product and modest unmined expansion from the changing refinery landscape. Moreover, the MR2 sector will be primary beneficiary of the new IMO 2020 relations which should provide incremental demand for our class of vessels in the context of tapering supply. The MR2 book continues to decline and that of end of February living in this resource estimated the other book at 7.1% out of our fleet like of 1660 vessels. While 74 MR2s are scheduled to delivery over the next 10 months new ordering activity has been low. In the last 12 months, only 43 MR2s were ordered. Also historically flippers [ph] has been significant. In 2018 delayed schedule deliveries around almost 18%, 21 MR2s were scrapped in 2018 and demolitions should increase at 7.3% of the global fleet is 19 years or older. Subsequently we believe net fleet growth will be 2.7% in 2019 and lower in 2020. Turning to slide 8, MR2 asset base have increased especially for more than acquisitions on it, but that’s still slightly below 10 year average. There contains to be attractive opportunities for [indiscernible] tankers in relatively modest low prices and participate in the upward movement of charter. So our sector has positive near term fundamental coupled with relatively attractive asset base which we believe will translate into an attractive entry point to enhance stockholder value. At this point, I would like to turn the call over to Henry Williams, our Chief Financial Officer, who will discuss our financial results in greater detail.
Henry Williams: Thanks, Eddie. Let's start with our unaudited results for the three months and year-ended December 31, 2018, on Slide 10. Our time charter equivalent revenues for Q4 2018, which we define as voyage revenues minus voyage related costs and commissions were $4.4 million, a decrease of $900,000 or 17.5% from the same period in 2017, as a result of a difficult fleet target, greater spot charter activity and lower utilization. In Q4, 2018 our daily TCE rate was over $9600 across our fleet of six vessels and utilization of over 84%. Results of the smaller tanker is negatively affected the fleet wide results. Turning to Slide 11, we incurred a net loss of $3.4 million for the three months ended December 31, 2018 or $0.16 basic and diluted loss per share based upon 20.9 million weighted average shares outstanding, compared to a net loss of $1.4 million or $0.08 basic and diluted loss per share based on a lower share count of 19 million for the same period in 2017. Despite good discipline with vessel operating cost G&A expenses during the quarter. Lower net revenue directly impacted at the bottom line, also we took a further non-cash charge of $700,000 or $0.04 per share to write-down the carrying value of our two small tankers into the fair market values. Those results translated to adjusted EBITDA of $200,000 for Q4, 2018. Please turn to slide 12, with reviews our recent fleet data by vessel type. Given the size of our fleet, changes in this metrics relate to a single vessel in one reporting period can have a disproportion effect on the total fleet operating results. Focusing on the most recent quarter ended December 31, 2018 we would like to point out the three key take-aways. The TCE for our four MRs averaged almost $11,100 per day. The average TCE for our small tankers grew slightly to almost $5900 per day negatively affected from fleet wide results and finally fleet wide daily operating expenses were $5800 per day, an improvement of over 4% from the same period in 2018. On an annual basis OpEx was again very [Technical Difficulty]. Turning to slide 13, we believe that it is important to review total daily operational cost to run and manage a public tanker company including overhead. These costs vary by fleet composition and so delivery company, operating structure and management. We can find total daily operational cost as vessel, operating cost as technical and commercial management fees, plus G&A expenses. For comparative purposes we believe that the total daily operational cost of our echo MR tankers continue to be competitive within the industry despite our small price. Please turn to slide 14 to review capitalization as of December 31, 2018. During the year we completed debt refinancings of four of our vessels in order to take advantage of a loan discount from one of our banks who is exiting the industry, enhance our balance sheet liquidity and extend debt maturities. At year-end our consolidated leverage ratio was on par with other publically traded tanker companies as debt funded debts stood at $63.6 million or about 59% total capitalization. No balloon payments are due for another 3.5 years, 58% of our outstanding debt is either fixed interest rate or protection for rising interest rates. With that I would like to turn the call back over to Eddie to conclude our presentations.
Eddie Valentis: Thanks, Henry. We believe that late Q3 2019 will give us a start of a multi-year strong product tanker market leading to improving charter rates, cash flows and asset volumes. Our current mix of time charters and spot exposure should help us manage potentially top environment in the short term and then position us to take advantage of increasing rates. We hope to utilize our cost effective operating platform and deep management experience to take advantage of opportunities to enhance stock holders volume. In confusion we feel comfortable in the long term industry fundamentals and are positioned to capitalize on future events. I thank you for joining our call today and look forward to reporting on further progress at Pyxis Tankers.
Operator: Thank you. That does conclude the conference for today. Thank you all for participating and you may now disconnect.
End of Q&A: